Olivier Andriès: Good morning, everyone, and thank you for joining us to our full year 2024 earnings call. I'm here with Pascal. Starting with our key highlights. 2024 has been a landmark year for Safran with revenues, profits and cash flows reaching record levels. These achievements were underpinned by strong aftermarket activity across the board, which notably civil aftermarket activity growing by 25% in dollar terms.  Supported, among other things, by the more than 10,000 aircraft in service, powered by a second-generation CFM56. Our focus on operational excellence continues to deliver results. We improved our operating margin by 150 basis points year-over-year, and we are pleased to see Safran Seats reaching operating breakeven, marking another milestone in our turnaround efforts for Aircraft Interiors. In terms of OE deliveries, LEAP volumes were down 10%, reflecting supply chain constraints. Equipment & Defense and Aircraft Interiors businesses saw an increase in OE volumes benefiting from strong customer demand. On mergers and acquisition, we have just completed the acquisition of CRT, a U.S. MRO leader. At the end of December, we have divested our 50% share of Roxel to MBDA and signed an agreement with Woodward for the sale of our U.S. Electromechanical Actuation Activities. The closing of Woodward deal is subject to the concomitant completion of Collins actuation and flight control activities acquisition expected at the end of H1 2025. Looking ahead to 2025, we are confident to deliver another year of substantial revenue and profit growth. Turning to Slide 4. Let me give you an overview of Safran's remarkable financial performance in 2024. Revenue grew by 18% at EUR 27.3 billion. Each of our divisions contributed to this strong growth, reflecting robust demand and our ability to execute in a volatile environment. Recurring operating profit is up 30% at EUR 4.1 billion. Recurring operating margin expanded by 150 basis points, reaching 15.1%, reflecting strong business activity and illustrating our focus on operational excellence. Free cash flow was EUR 3.2 billion, which is a standout performance considering pressure on working capital. Based on this good set of results, and as per our dividend practice to distribute 40% of our net results, we are proposing a EUR 2.90 dividend per share for 2024 up 32% compared to last year, returning EUR 1.2 billion to our shareholders and reflecting our confidence in the future. Turning to Slide 5. Commercial momentum has continued in the recent weeks across Safran key businesses. In December, CFM achieved a significant milestone for the LEAP-1A engine with FAA and EASA certification of the new high-pressure turbine durability kit. These enhancements extends time on wing and durability, particularly in challenging hot and dusty environments. This is the trigger to start recognizing profit on LEAP-1A RPFH contract. We celebrated the first commercial flight of the LEAP-1A powered Airbus A321 extra long range with Iberia, marking a milestone in long-range single-aisle aviation. We are very proud of the full-fledged certification by EASA for our ENGINeUS 100 a world premier for a noteworthy electric motor to power an aircraft. This is paving the way for extended application of electrical machines in general aviation and VTOL for mission-critical functions with the highest standards of flight safety rules. Moving to our expanding defense business. In the U.S. We have launched Safran Defense & Space Inc. to expand our footprint for instance, in Bedford for electrooptics in Denver for small satellite propulsion and in Rochester for the positioning, navigation and timing systems. We secured new contracts with the Bundeswehr in Germany, to supply advanced infrared binoculars and with the Egyptian Navy to provide optronics and navigation systems. Each of these achievements demonstrate Safran's ability to drive innovation, support our customers and deliver value in an increasingly competitive global market. Now on Slide 6, sustainability. An update on our climate strategy road map achievements. In 2024, we devoted nearly EUR 700 million in self-funded research and technology, of which 88% was dedicated to environmental efficiency. In addition to the engineering certification, we have made several other key progress in our technological road map, reinforcing our leadership in sustainable aviation. We conducted ground test of the first liquid hydrogen-fueled turbine engine for light aviation with our partner, Turbotech and Air Liquide. We completed the EcoPulse flight test campaign with Daher and Airbus, demonstrating the potential of distributed hybrid-electric propulsion. We inaugurated BeCOVER in Belgium, which is a unique compressor test center designed to validate the next-gen aircraft engine innovations. We remain fully committed to reducing our carbon footprint and driving sustainable transformation across our operations. Our EcoVadis rating increased to 65 out of 100, reflecting ongoing improvement in ESG performance. We are on track to meet our 2025 and 2030 Scope 1 and 2 CO2 reduction targets aligned with the Paris agreement. We hosted our third supplier day, engaging our top 400 suppliers in our sustainability journey. To further drive our sustainability agenda, we continue to integrate sustainability into our governance and operations. I will now hand over to Pascal for more details on our 2024 results.
Pascal Bantegnie: Thank you, Olivier. Good morning, everyone. I'll be commenting on the adjusted accounts for which a bridge from the consolidated statement is presented on Page 8. As usual, the adjustments relate to FX or PPA. The EUR 4.7 billion change in mark-to-market of instruments, hedging future cash flows has been recorded in financial income in 2024. This is purely an accounting entry with no cash impact. FX trends are illustrated on Slide 9. We continue to actively manage our currency exposure and secure favorable rates in a strong USD environment. In 2024, the euro-USD rate fluctuated around 1.08 all year with a drop at 1.04 at year-end, which explains the mark-to-market from the previous statement. We achieved a hedge rate of 1.12 an improvement of 0.01 compared to 2023. For '25 and the following years, our hedge rate is set at 1.12, same as in 2024. By convention, the annual estimated net exposure is capped at $14 billion, and this should not be interpreted as a medium-term business forecast. Our hedge book stands at $44.7 billion, ensuring long-term visibility and predictability for operations. On the income statement, one-off items amounted to EUR 6 million, including capital gain from the Roxel divestment of EUR 83 million. In financial income, the return on cash investments exceeded the cost of debt and generated EUR 157 million in net financial interest. Additionally, FX revaluation of some positions on the balance sheet had a negative impact of EUR 106 million. The apparent tax rate is 23.8%. Since the French draft finance bill was not adopted by year-end 2024. There was no corporate surtax applicable that year. According to the latest news in France, 2025 should be the one and only year when the surtax applies. Net income attributable to the parent stands at EUR 3.1 billion, representing EUR 7.37 per share, up 52% from last year. On Slide 11, as Olivier said, 2024 revenue reached EUR 27.3 billion, up 17.8%. It's a 17.1% organic growth with very consistent growth rates each quarter of the year. Original equipment sales were up 17.2%, driven by volume, customer mix and price. Service revenues were up 17%, benefiting from strong demand from airlines for MRO and spare parts. Then we had a slight impact from the scope, a modest impact of 0.6%, reflecting the M&A activity in terms of divestments and acquisitions of different businesses. Recurring operating income was EUR 4.119 billion, up by nearly EUR 1 billion from -- in 1 year. It is up 27% organically, reflecting robust execution across our businesses. Margins expanded by 150 basis points to 15.1% of sales, demonstrating the margin acceleration that we discussed during the Capital Markets Day back in December '21. Key drivers of this performance include price and volume effects in OE and MRO positive mix for our civil engines and operational excellence with sustained cost discipline and efficiency gains offsetting inflationary pressures. While R&D investments increased by EUR 160 million, the EBIT impact remained stable as a percentage of sales. It was 4.1% in 2024, which compares to 4.3% of sales in '23. Let's now take a closer look at our businesses, starting with propulsion. Revenue at EUR 13.7 billion, up 15%. OE revenue grew by 13.5% with 1,407 LEAP engine deliveries down 10%, impacted by supply chain constraints. The lower volume was more than made up for by a better customer mix and pricing. Helicopter turbine engine deliveries increased by 94 units, totaling 682 deliveries. M88 fighter engine deliveries remained stable with 40 units comparing to 42 in 2023, I would say, as expected, and it did benefit from the favorable customer mix. Propulsion services revenue was up 16% driven by a 24.9% growth in civil aftermarket in dollars, in line with our guidance. Our new spare parts indicator is up 17% in dollars, thanks to more share visits and higher prices for both CFM56 and high-thrust engines. Our new services indicator is up 38% in dollars, led by LEAP RPFH contract as you know, with no margin recognition in 2024 and high-thrust engines. Helicopter turbines and military engines also helped boost the growth of propulsion services. Recurring operating income was EUR 2.8 billion, up 18%, margin reached 20.6%, up 0.5 point compared to 2023, supported by the good dynamic in aftermarket for CFM56 and favorable customer mix and pricing. Equipment and Defense sales reached EUR 10.2 billion, up 17.7%, original equipment revenue was up 18.3%, driven by higher volumes of net sales on the A320neos and the GE Gulfstream 700, more electrical systems for the 787 and the A320neo as well as increased defense sales on guidance systems, optronics and land systems. Service revenue was up 16.8% with a strong recovery across the board. Recurring operating income reached EUR 1.3 billion up 31%, with an operating margin at 12.2%, up 100 basis points compared to 2023, which was our commitment. This was expected, thanks to the OE ramp up, strong services, better pricing and a relentless focus on operational excellence, which helped us offset the impact of inflation. Finally, on Aircraft Interiors, we can share some great news. That division is now back to the black. Sales were EUR 3 billion, up 25.2%, showing very strong growth but this is still 5% below the record levels of 2019. OE was up 24.5% with strong growth in Cabin activities like Custom Cabin, A350 Lavatories, A320 Galleys. In the Seats business, we delivered nearly 2,500 business classes to major airlines worldwide making significant progress in our industrial and engineering processes. Services were up 23.6%, benefiting from strong growth in both seats and cabin mainly in spare parts. So we've made progress in turning around aircraft interiors. After breaking even in full year 2023 for cabin, cabin and IFE are now positively contributing to recurring operating income. And seats has reached operating breakeven for full year 2024. In the second half of the year, Aircraft Interiors was even at breakeven in terms of free cash flow generation. As a result, the division posted a positive recurring operating income of EUR 27 million. On Slide 16, Free cash flow exceeded our expectations at EUR 3.2 billion. This is an increase of nearly EUR 250 million compared to EUR 23 million, demonstrating the efficiency of our cash management. This performance comes from a 31% increase in EBITDA and stable working capital needs, thanks to higher customer advance payments and deferred income, which offset the rise in inventory in euro terms. We also continue to invest in new production capabilities, especially in engine MRO as well as in low-carbon projects. Safran was net cash positive at the end of 2024 with a positive balance of EUR 1.7 billion, which represents minus 0.3x EBITDA. Besides the free cash flow, we paid a dividend of EUR 2.2 per share and repurchased shares for EUR 1.3 billion. We also proceeded with the early redemption of the OCEANE 2027 convertible bond using shares purchase in 2022 and 2023. And we had a net cash out impact from our M&A activities of nearly EUR 300 million. So we remain fully deleveraged and we enjoy a strong balance sheet. Switching to shareholder returns on Slide 18. For the fiscal year 2024, Safran will propose a dividend of EUR 2.9 per share, up 32%, representing a 40% payout ratio on the adjusted net income. On share repurchase programs, in 2024, we repurchased 6.5 million shares for a total of EUR 1.3 billion, including the EUR 750 million in share buybacks, resulting in the cancellation of 3.6 million shares, which had an accretive impact of 0.86% on the equity ownership. We also completed the hedging of the potential dilution of the 2028 OCEANE convertible bond. And early this year in 2025, we started the execution of our 5 billion program for share cancellation with the first tranche of EUR 350 million. All shares purchased under this program in 2025 will be conserved by December 31. Olivier, back to you.
Olivier Andriès: Thank you, Pascal. At our last Capital Market Day in December, we provided a preliminary outlook for 2025. Based on 2024 results and market trends, we are now raising the 2025 outlook. We expect underlying market trends to remain strong with a further increase in OE volume deliveries and robust demand for spare parts. We now expect high single-digit plus growth in spares up from previous expectation of mid- to high single digit for 2025. Therefore, Safran expects to achieve for full year 2025, excluding Collins and any potential impact of new tariff implementation. Revenue up around 10% and recurring operating income between EUR 4.8 billion and EUR 4.9 billion; free cash flow between EUR 3 billion and EUR 3.2 billion. Our free cash flow guidance includes an estimated impact of the future French corporate surtax of EUR 380 million to EUR 400 million. Without this surtax, our cash conversion rate is above 70%. In closing, I would like to focus on our few key priorities. We remain totally focused to meet customer demand by managing the ramp-up in OE deliveries despite supply chain constraints. And here, LEAP is our top priority with the introduction of the new HPT blade on the LEAP-1A. We will continue to keep our customers' flying providing MRO and spare parts and ensure a smooth CFM56 to LEAP aftermarket transition. We expect to close the Collins' actuation and flight control activity acquisition by midyear 2025. We will continue our clear and ambitious research and technology road map to tackle the greatest challenge of our industry, decarbonization. And last but not least, we are focused on our growth trajectory, increasing operating profit, expanding margin and cash. Thank you for your attention. We are now ready to answer any questions you may have.
Operator: [Operator Instructions] First question is from the line of Benjamin Heelan from Bank of America.
Benjamin Heelan: I hope you are both well. First question I had was on the spares guidance. Now high single digit plus. I think that implies that you can actually go into the double-digits. So is that fair? And again, can you give us a bit more color as to what's changed versus the mid-single-digit low end a few months ago?
Olivier Andriès: Ben, Olivier speaking. Yes, we have a slightly revised up our guidance relating to spare parts. It's basically, rising up a bit the volume of shop visit and engine inductions basically. We've not changed our assumption relating to work scope and pricing.
Benjamin Heelan: Fine. Okay. That's clear. And then second question is around the long-term free cash flow guide that you gave at the CMD obviously, already raised cash for 2025 and you did better than you were guiding for in 2024. So when I do the math from here, I actually think it's very, very difficult for you to do the [ EUR 15 billion ] at the low end. And actually, it's going to be quite hard for you to beat -- sorry, to do worse than the [ EUR 17 billion ] that you've guided for at the upper end? Because if we look at the 2025 cash guide that you've given and you strip out the French tax you're doing kind of 3.4 to 3.6 on an underlying basis anyway, which I assume will grow from here in 2026, 2027 and 2028. So can you just give us a little bit of color around that? And what are the other dynamics that we need to be thinking about in cash flow? Because it just seems at this point, to be very, very conservative.
Pascal Bantegnie: Ben, Pascal speaking. We were very pleased with the free cash flow generation in 2024, which came beyond our own expectation. We were guiding for EUR 3 billion. And we ended up with, let's say, EUR 200 million more than expected. It's coming from working cap, meaning the assumption we had for inventories or customer payments. We did revise upwards our 2025 guidance by, let's say, on average, EUR 200 million. Again, based on the first better profit expected in 2025, which translates into cash and also some changes we made in our outlook for working cap. So going forward, we provided at the Capital Market Day guidance for cumulative cash of [ EUR 15 billion to EUR 17 billion. ] We fully understood that this was seen as very conservative by the market. So we are pleased to do better in the first 2 years of that period of time. A bit early to say if we will beat and if we do, by how much at the end of the day. So let's go step by step year after year, and we'll see at some point in time if we can raise that on that. But clearly, it's too early. There are a lot of moving parts in terms of the reason at which we will deliver LEAP engines and then the advanced payments we do receive from customers. What about the Rafale export contracts we could win in the meantime. How we will manage inventory at the time where supply chain constraints are still persisting. So a lot of moving start points, sorry. So a bit early to be more precise on the cumulative cash over the period. But it is a good start, if not an excellent start, I agree.
Benjamin Heelan: Cool. All right. Final very quick one for me. Your comments on proportion on OE positive mix and price. Can you talk about that pricing dynamic a little bit? Is that something we're going to see again in 2025? And can you just remind us where we are on the breakeven point for the LEAP?
Pascal Bantegnie: Yes. On the OE side, what we wanted to point out is that we've delivered much less LEAP installed engine and a slightly higher spare engine. So the ratio was clearly helping in terms of results in terms of EBIT. In terms of pricing for OE engines, we see a slight improvement over time, but nothing material with respect to the EBIT performance.
Olivier Andriès: The engine that we are going to deliver in 2025 basically are based on, let's say, commercial contract that we have signed years ago. So I mean, it's progressing year after year for sure. A key element is also the spare engine ratio, which basically I can confirm is on the low teens.
Operator: We'll now take the next question, this is from Robert Stallard from Vertical Research.
Robert Stallard: A couple of questions from me. First of all, on the new LEAP-1A HPT Blade. I was wondering if you could comment on how the performance has been so far? And then when do you expect the LEAP-1B blade to be certified? And then secondly, I was wondering if you could comment on your expectations for high-thrust engine OE and aftermarket revenue growth in 2025?
Olivier Andriès: Robert. It's too early to give an answer on the LEAP-1A new blade durability. I mean we are just starting to induct those new blades during the shop visit and also in the new OE engine deliveries. So it's too early to say what's going to be the impact, we are very confident because we made all the [ ground ] test. And so we are very confident that the time on wing will double. So that's for sure. On the LEAP-1B, we expect the certification, the new blade to occur within the year, within 2025 for the LEAP-1B new blades. On high-thrust engine, yes, the dynamic is strong on that one. And that also helps to raise a bit. That has helped us to raise a bit of guidance on the spare parts in this index for 2025. Very strong dynamic on high-thrust.
Operator: This is from Ross Law from Morgan Stanley.
Ross Law: So just going back to the topic of the mix between OE and spare engines and propulsion. You mentioned low teens. Can you just run through what that was in Q4 '24? And then also how you see this trending quarter-by-quarter through 2025?
Olivier Andriès: No, Ross, we don't give this level of detail. So sorry for that.
Ross Law: The low teens is the current level?
Olivier Andriès: Low teens is the current yearly level. Now you are well aware that we do every week an allocation of new engine deliveries between installed engine delivered to the airframers and spare engines delivered to the airlines. So it can vary from one quarter to a quarter, of course. So the key point, the meaningful one is the yearly result. And I can confirm it's low teens.
Pascal Bantegnie: The color we can provide is on 2025. So we expect LEAP deliveries total to be up 15% to 20%. And the ratio between spares and installed engines will slightly decrease, but in number of engines in volumes, it should be more or less flattish from 1 year to the other.
Operator: We'll now take the next question. This is from Ken Herbert from RBC Capital Markets.
Kenneth Herbert: Yes, Olivier and Pascal. I wanted to see if you can comment on lingering pressure within the supply chain as it relates to either LEAP or CFM56 spare parts. Are you seeing things progress as expected and improve as hoped? Or are there still some pockets of softness or concern? And then specifically, can you provide any more detail on the cadence of LEAP deliveries, we should expect this year across the calendar quarters to get to the up 15% to 20%.
Olivier Andriès: Ken, as you know, the supply chain issues are persisting, but improving progressively. So we will progressively see, let's say, an easing in supply chain constraints all across the board. The number of critical, let's say, suppliers and critical sites are basically decreasing month after month. We still have across the board some, let's say, pain points globally. But I can say that the situation is indeed progressively improving. But still there, I mean, the demand is still stronger than what the supply chain can deliver. And this will still be the case globally in 2025. Now as we said on the LEAP deliveries, we are confident we will be able to deliver 15% to 20% more LEAP in 2025 compared to 2024, which has been the year of transition, especially on the, let's say, new HPT blade.
Pascal Bantegnie: But we won't provide the quarterly guidance for the LEAP ramp-up.
Operator: We'll now take the next question. This is from Ian Douglas-Pennant from UBS.
Ian Douglas-Pennant: Douglas-Pennant at UBS. On spare parts, sales growth extremely strong in Q4 and services slower than your guidance would suggest? And then you've alluded to a higher proportion of LEAP engines sold as spares as well. I'm surprised then that your -- if I'm not being too greedy, then that your profitability is not even higher in Q4. Is there some offset to profitability that we should think about there because with LEAP sales and spare parts growing, we should expect larger? And then my second question, please, on tariffs. If you have any general comments on how you might manage your exposure there or how you might size any particular exposure, that would be very helpful.
Pascal Bantegnie: Ian, on your first question on this side of the table, we were very pleased with the performance in EBIT for Q4 and for the full year. So I don't have in mind any negative events that occurred later in the year.
Olivier Andriès: On tariff, as you know, we -- I mean, we have a strong footprint in North America, especially in the U.S. in Canada and in Mexico. And yes, indeed, we deliver equipment and parts to our U.S. customers from Mexico and Canada. So it's too early to give a precise answer to your question. We are monitoring very closely what's happening here. We are looking at that. But as long as we don't have the scope of the potential tariffs and the details, we are not going to be in a position to provide a precise answer. But we are monitoring the situation carefully.
Operator: We'll take our next question. Next question is from the line of George Zhao from Bernstein.
George Zhao: First question on CFM 56 shop visits. So in 2023, it was over 2,000, by '25, your targeting 2300. So if we straight line that, it would be high single-digit growth in '24, '25, I guess, what was the growth in '24? And given your earlier answer that the change in the guide is all on volume, would it be fair to say that for '25, you're now expecting about mid-single-digit volume growth? And then second question, as to Ian's question on profitability. I mean profit -- I mean, sorry, propulsion margin, it was down year-over-year in H2. We know H2, '23 was strong, but we had fewer OE, fewer LEAP deliveries, pricing benefit on OE, strong growth in spares. I mean, all of those would have seen the ingredients for margins to improve. So why did it decline year-over-year?
Olivier Andriès: George I will answer on the first one, the shop visits. So in 2024, when we look at shop visit volume, it has grown mid-single digits in 2024 versus 2023. Looking ahead, we see again a mid-single-digit growth for shop visits. And this is why we have risen a bit our spare parts forecast for 2025. So mid-single-digit growth again in 2025.
Pascal Bantegnie: On your second question, George, I will highlight that the line called holding and eliminations came lower than you all expecting. I just would like to recall what is accounted into that category. It is, first, the cost of the holding, okay? And then the second is cost for services that we provide to all the companies within Safran. Typically, the M&A team is centrally and then recharge to the different companies of Safran. The fiscal team is central, so on and so on. In 2023, we had quite a high negative number in this category due to the fact that we have set up an employee shareholder plan that all the cost was accounted for into the holding and elimination. And in 2024, in the second half, we did recharge to all Safran companies their own respective costs. So this is why holding and eliminations is coming lower than in 2023 at, I guess, a negative EUR 30 million or so million. And when you look at the profitability branch by branch in H2, there is this kind of negative weighting on the margins. So that explains the propulsion margin you see in H2.
Olivier Andriès: So this is why you need to take into account this correction when you compare H1 and H2.
Pascal Bantegnie: And I would say the run rate in the holding and elimination going forward should be more in the EUR 30 million to, let's say, EUR 50 million negative going forward.
George Zhao: And then, just to confirm, maybe when you say mid-single-digit volume growth in '24 and '25 starting from the base of above 2023, does that still mean you do around 2,300?
Olivier Andriès: Around, yes.
Operator: We'll now take our next question. This is from Chloe Lemarie from Jefferies.
Chloe Lemarie: I have 2 questions, if I may. The first one is actually on the de-correlation, if I may call it like this, between your civil aftermarket growth in Q3 and Q4 and GE's performance in commercial services. So maybe if you could explain what are the end market exposure that drive that difference? And also on the CFM56 internal shop visit, if you could explain how these are allocated or competed for between yourself and GE, that would be great. And the second one is a technical one. On the French surtax treatments on 2025 EPS, how should we think about this in relation to the payout, please?
Olivier Andriès: On civil aftermarket, just as a reminder, our indicator on spare parts takes into account mostly CFM56 for sure, LEAP is going to start. And high-thrust engine as per our share of this program, which is, as you know, on the GE90, it's 25%. So -- and just as a reminder, when our partner is basically communicating on their spare parts, it's all across the board combining, let's say, narrow-body engines and wide-body engines. So that can explain.
Pascal Bantegnie: What we could say as well is typically the LEAP shop visit today for third parties not inside the RPFH contract, most of the work, which is done relates to the HPT blades, meaning that GE is providing those parts to the MRO shops. So it's revenue for GE, not revenue for Safran. We do not yet recognize a lot of revenues on LEAP third-party MROs.
Olivier Andriès: On top of that, we don't have the same accounting rules. So this has to be taken into account as well. And specifically on the CFM56, we don't have the same exposure to the services. Our partner basically has much more MRO activities themselves. I mean internal shop visit that we do have. So that can explain the differences.
Chloe Lemarie: Just if I can follow up on -- just on the internal shop visit because obviously, they indicated theirs were down in Q3 and in Q4. So yours were up, right in Q3 and Q4?
Pascal Bantegnie: You mean sequentially?
Chloe Lemarie: Year-on-year.
Pascal Bantegnie: Year-on-year, I would guess so. Are you talking internal shop visit -- our internal shop visit?
Chloe Lemarie: Yes, your internal CFM56.
Olivier Andriès: We don't disclose that on the CFM56. Now what I can say year-over-year on the LEAP, globally, when we look at the shop visit on LEAP, which are you know that LEAP, we are only mainly talking with services today. On LEAP, our internal shop visits have increased by around 30% year-over-year between 2024 and 2023. And sorry -- and it's going to grow 30% between -- sorry, it's going to grow 30% between 2025 and 2024. Am I clear?
Chloe Lemarie: Yes. Yes.
Olivier Andriès: So a 30% growth on LEAP internal shop visit or LEAP shop visit globally, so on LEAP shop visit of 30% between 2025 and 2024. And I can also give another element, the third-party shop visit on LEAP will continue to grow and will be, let's say, between 10% and 15% in 2025. This is an important point because when we talk about third-party shop visit, this is the driver for, let's say, a spare part revenues for us on LEAP. So 10% to 15% third-party shop visit on LEAP in 2025.
Pascal Bantegnie: And on your last question about the EPS, I would say guidance for the dividend calculation for this year. We usually, and we always, I would say, apply a 40% payout ratio on the adjusted net income to compute the dividend proposal. It is true that when we have noncash impairments affecting the net adjusted income, we would usually restate the net income from those. Typically, last year -- well, in 2023, sorry, we adjusted the net income by the impairment we had on the goodwill on the cabin and seats because it's a noncash item. And then once we have restated the net income, we apply the 40%. In 2025, the surtax in corporate tax is a cash item. So there is no reason to adjust the net income this year before we apply the 40% payout ratio because it is a cash item compared to a noncash item when we talk about goodwill impairment, for example.
Operator: We will now take the first question. This is from Christophe Menard from Deutsche Bank.
Christophe Menard: I wanted to come back to the tariff question. You mentioned Mexico and Canada. Two questions around tariffs. The first one is, do you have an idea of how many times your parts are crossing the borders in terms of the exchanges with Canada and Mexico. And the other element around tariffs is, what about tariffs on EU manufactured product, i.e., the engine parts. Is it something you've looked into? And anything from the 2020 situation when there were some tariffs that could be useful in terms of understanding the situation? And the second question was on your guidance, you actually lowered the FX rate. So it's a question on the sales guidance. You lowered the FX rate. So it should contribute to higher sales. Is it something -- I mean, you said around 10%, so it's around 10%, 13%, the same in your understanding of the guidance of sales?
Pascal Bantegnie: Christophe, I will answer very quickly the second question. There is no change in our FX assumptions. Spot rates 110 and the hedge rates 112, exactly the same as we had at the Capital Market Day when we provided the preliminary guidance for 2025. In terms of spot rates, a EUR 0.01 change would impact our sales by about EUR 100 million. So typically, today, we are at a spot of, let's say, 1.04. So it's EUR 0.06 different from our own assumption, meaning that it could translate into an additional EUR 600 million sales, which is not in our guidance today.
Olivier Andriès: Christophe, I will try to answer on the first question. But there are many parts, subassemblies, modules, flooring all around the world. As you know, we have a worldwide footprint. And so as an example, when we assemble the LEAP-1A engines in France to be delivered to Airbus, but we get the core from our partner, GE. So the core are flowing from the U.S. to Europe and then assembled within a complete engine in our facility south of Paris. On the other side, the LEAP-1B for Boeing are assembled mainly in GE facilities in the U.S., and we deliver to GE, the turbine model, which is coming from France, and the fan module, which is coming mainly from Mexico. And of course, submodules can -- when we have some activities, for example, in Mexico or in Canada, and we deliver equipment from there to the U.S., yes, indeed, we get some parts that could flow from the U.S. to Mexico to be assembled in Mexico or from the U.S. to Canada to be assembled in Canada and then go back to the U.S. as a complete equipment assembly. So it's quite a complex worldwide, let's say, vision. And of course, this is why we are very carefully monitoring what's going on to see the impact to, let's say, anticipate a bit and see how we can mitigate as much as we can those impacts. That's basically the plan.
Operator: We'll now take our next question. This is from Samuel Burgess from Citi.
Samuel Burgess: Firstly, can you just remind us on your expectation for a timeline on profitability in seats, that would be really helpful? And second question, the revenue guidance for '25 has remained flat, but our profit guide has clearly increased, which might imply a stronger aftermarket mix. Can you just give us some color on the rationale for this change? What's changed between now and December?
Olivier Andriès: I'll take the first one on seats. As you know, and as you've seen at the Capital Market Day, the plan is to move up the profitability of Aircraft Interiors, let's say, to -- globally to double digit, especially on seats. So starting from a breakeven point for seats in 2024. So basically, we are targeting to be on this journey. And so we are targeting to have indeed an increased EBIT margin in 2025 versus 2024. So be in the black and yes, and be consistent with this overall journey. And of course, we are going to be focused on cash as well in order to improve the cash performance of our Aircraft Interiors business as well.
Pascal Bantegnie: On your second question, on revenue guidance, there was no reason to change our revenue guidance for 2025. The only assumptions we raised between December and today is on the spare parts revenue moving from mid- to high single digit to high single digit plus, which has definitely a positive impact on revenue, but this is falling within the up around 10%. In your terms, I would say we should be close to EUR 30 billion in 2025. Remember that the FX assumptions we have is the euro dollar on average at 1.10 for the year. We understand today it's 1.04, so it's more favorable than our own assumption. But we'll see with time what is the average for the full year 2025.
Operator: We'll now take our next question. This is from David Perry from JPMorgan.
David Perry: Thank you for squeezing me in. Just one question. Any chance you could give some guidance on the propulsion margin in 2025, please?
Pascal Bantegnie: We've reached a margin of 20.6% in 2024. We guided at the Capital Market Day that between '24 and let's say, the end of the decade, we aim to maintain the margin above 20% at a time where we will transition from the CFM56 aftermarket model to the LEAP service aftermarket model. In 2025, by the way, I could answer for all the 3 divisions, we aim to improve the margin rate in propulsion, still in the low 20s, but higher than what we had in 2024, continue to raise the margin rate by at least 0.5 points in equipment. And as we aim to reach more or less 10% operating margin in Aircraft Interiors in 2028, it means that we need to improve the margin by 1.5 to 2 points a year. So this is what we are aiming for 2025. So within all the 3 branches, we aim to improve the margin rate.
David Perry: And just curious, you're willing to say up by 0.5 point in equipment, but in propulsion, you don't seem to want to guide. Can I be annoying and just try and push you?
Pascal Bantegnie: It could be within, what, 1 and 2 points.
David Perry: 1 to 2-point improvement in your propulsion margin in '25?
Pascal Bantegnie: Yes, it could be a good target for us, yes. I mean it's a good time to also highlight that remember at the Capital Market Day in 2021, we've said that for '21, '22, '23, we were aiming to improve the margin by 100 basis points each and every year, and this is what we did. And we said at that time that in '24 and '25, we're aiming to achieve 150 basis points improvement. And as you can see, we did that in '24. And looking at our guidance, this is more or less what we should achieve in '25. So we are being in line with what we've said in 2021 despite a completely different environment in terms of inflation and supply chain.
David Perry: So am I still on have you closed me off?
Pascal Bantegnie: You're still on, David.
David Perry: Sorry, sorry, just to make sure I'm not being stupid. You mean 100 to 200 basis points or you mean 0.1 to 0.2. Sorry to -- for that question.
Pascal Bantegnie: I'm saying 1 to 2-point improvement in the margin rate starting from 20.6%.
Olivier Andriès: So it's 100 to 200 basis points for the propulsion, that's what he said.
Operator: So the last question today is from the line of Aymeric Poulain from Kepler Cheuvreux.
Aymeric Poulain: I've got 3 questions, please. So on this propulsion margin, I think you highlighted the first recognition of LEAP aftermarket profit in 2025 and the catalyst of the HPT blade approval, does that change the margin contribution of the aftermarket? Is it a driver also of margin boost in 2025? Or is it too small to really matter this year? And then on the guidance, you do not obviously consolidate Collins yet, and you mentioned the potential sale of the Electrical business to Woodward. What this sale contribute today to the actuator business and what should be the net contribution to now assume for the equipment business? And last, I think there were some articles in the press mentioning an interest in Atos activities. So could you give us a bit of a feel for the pipeline of M&A, both disposal and potential acquisition that the group is looking at right now?
Olivier Andriès: Aymeric, I will give you a quick answer on your third question. The answer is no. And by the way, we have communicated that we -- I mean, we have no interest in looking at Atos assets. So we've denied.
Pascal Bantegnie: On your first question, it is true that as we said at the Capital Market Day, the trigger event to recognize and start recognizing profits on LEAP-1A RPFH contract was the introduction of the Maverick, so the new HPT blade on the LEAP. Now that the blade is certified, I confirm that we will start to recognize some profit only on LEAP-1A today RPFH contract. Frankly, this is not material compared to the overall EBIT guidance we gave. So it will not make any change to the margin rate in the propulsion division. On your second question, we will provide an updated guidance if we close that deal by midyear on the Collins/Woodward, net effect on the accounts. Just to remind you, purely on Collins' activities, it's about a $1.8 billion revenue it was in 2023. So we'll provide an updated guidance on what will be the impact. As you know, the guidance we are providing today excludes any impact from the Collins acquisition. Thank you all, and happy Valentine's Day.
Olivier Andriès: Thank you. Have a good day.